Operator: Good morning, ladies and gentlemen, and welcome to the presentation of BNP Paribas Second Quarter 2017 Results. For your information, this conference call is being recorded. Supporting slides are available on the BNP Paribas IR website, investorbnpparibas.com. [Operator Instructions] I would like now to hand the call over to Lars Machenil, Group Chief Financial Officer. Please go ahead, sir.
Lars Machenil: Thank you. Good morning, fine ladies and gentlemen, and welcome to our second quarter 2017 results presentation. In our usual way, I'll take you through the first 2 chapters of our second quarter results presentation and then I'll be very pleased to take your questions. So if we start with the key messages on Slide 3, you can see that in the second quarter BNP Paribas delivered good business and income drive. Revenues, and particularly of our operating divisions, marked good growth, increasing by 2.5% on the second quarter of last year. And this on the back of a strong commercial drive in all 3 divisions: Domestic Markets, International Financial Services and CIB. Cost of our operating divisions decreased by 0.4%, as they reaped the benefits of our efficiency measures. The third element, cost of risk, marked another significant reduction this quarter to stand at 36 basis points, and this is of course in terms of outstanding loans. Overall, the group generated EUR 2.4 billion of net income in the second quarter. Net of exceptional items, it showed a sharp increase of 17.2%. If we look at the ratios, to start with the common equity Tier 1 ratio, which stood at 11.7% at the end of June versus 11.6% at the end of March. And as you can see, the group delivered solid results, with good business growth and further strengthened its common equity Tier 1 ratio. If we now go to Slide 5 and read -- where we see the exceptional items. You can see that they were negative, the exceptional items, this quarter to the tune of EUR 170 million post tax. On the other hand, a year ago, so the second quarter of 2016, had been quite positive as it had benefited in particularly from the sale of Visa shares. If you now swipe to Slide 6, you can see the very good performance of the operating divisions that I've mentioned and the 17.2% increase in net income, excluding one-offs. As I've told you, there is a negative impact this quarter of the exceptional items versus last year. If you now zoom or slide or pinch, whatever, to Slide 7, you can see that this very good performance of the operating divisions was actually true for the whole first half of the year, and that we have delivered EUR 4.3 billion of net profit in the first 6 months. This, in turn, means that we delivered a 10.6% ROE on an annual basis and a return on tangible equity of 12.5%. Now if we continue and we focus on the revenues of the operating divisions, and if you can please flick to Slide 8, you can see the contribution of the 3 divisions to the 2.5% revenue growth with the IFS and CIB divisions marking good progress. Domestic Markets was slightly down due to the low-rate environment despite the good business development I mentioned earlier. If we continue to the pack and advance to Slide #9, you'll see that the cost of our operating divisions were actually down, thanks to the implementation of the cost-saving measures. CIB's costs were down, benefiting from the launch of the CIB transformation plan as early as last year. On IFS, cost evolution reflected the increased level of activities, while Domestic Markets were higher on the back of continued development of the specialized businesses. However, on Domestic Markets, if we focus just on the 3 main retail networks, in Belgium, in Italy and France, the cost progressed by just 0.5% on average. If we stay on cost, and if you swipe to Slide 10, you'll see that we are actively implementing our ambitious program of new customer experience, digital transformation and savings. Across the group, that entails total investments for EUR 3 billion by 2020. At group level, we have already identified some 150 significant programs. In the first 6 months of the year, we had already booked EUR 243 million of transformation costs and generated EUR 186 million of recurrent cost savings. The bulk of these cost savings were in CIB, which launched its plan, as you know, at the beginning of last year. The launch of the plan has started in line with the defined timetable, and the programs are being implemented gradually. Transformation costs are progressively ramping up and should gradually attain a cruising speed of around EUR 250 million per quarter. Now if we now shift to another type of cost, namely the cost of risk, and I would kindly ask you to turn through the 3 dedicated slides on the topic, which start at Slide 11. You can see that cost of risk was again at a low level this quarter. On the whole, the decline of cost of risk resulted from the continued decrease at BNL, combined with write-backs in some businesses. Looking at the different businesses one at a time, if we start with Corporate Banking provisions, were once again more than offset by write-backs this quarter. Of course, I mean, they were at a very low level, and that is why the write-backs basically tilted them into the debt territory. Looking at our domestic markets on Slide 12. Cost of risk was low in French Retail, very low in Belgian Retail and continue to decrease at BNL in Italy. In the other Retail businesses on Slide 13, Personal Finance saw a low cost of risk this quarter, benefiting from the low-rate environment and a gradual shift towards products with a better risk profile. There were also some write-backs, Europe-Med's cost of risk was positively impacted by EUR 21 million provisional write-backs, while BancWest was still very low. If we now turn to our financial structure on Slide 14, you can see a further improvement of our common equity Tier 1 ratio that I mentioned, that stands at 11.7%. This was basically due to the second quarter results. And I'll remind you, which is net of the 50% dividend payout that we foresee. And so net of that, it contributed 20 basis points, which were partly offset by the increase of risk-weighted assets, excluding the foreign exchange rate. And so this increase basically reduces it by 10 bps. And so overall, the ForEx effect on the ratio was negligible, so 20 basis points from earnings, 10 basis points from risk-weighted assets. So overall, a step-up of 10 basis points. If we look at the Basel III leverage ratio, it clocked in at 4.2%, and our liquidity coverage ratio stood at 116%. So both well above the yardsticks, so that's okay. So -- and oh, yes, and the final thing is the group immediately available liquidity reserve totaled a whopping EUR 344 billion at the end of June. On this, I leave you to peruse the last 3 slides of this introductory part, and I now would kindly ask you to advance to the divisional results, and starting with domestic markets on Slide 19. If we look at Domestic Markets, it showed good business drive in the second quarter, with good loan growth in all of the networks and specialized businesses. Deposits also continued to increase in all countries. Private Banking confirmed a good trend, with assets under management increasing by 7.9% and net inflows reaching EUR 1.5 billion in the second quarter. Hello bank! continued to develop well, with good levels of new clients onboarding, especially in France, where new clients were up 18% compared to last year. Along this, we've been pressing ahead with new client experiences and digital transformation. In fact, a couple of weeks ago, we finalized the acquisition of Compte-Nickel, which is a success story and already has over 630,000 accounts and, in second quarter alone, has notched up over 81,000 new accounts. The target is to accelerate client acquisition and reach 2 million accounts by 2020. Thanks to the addition of Compte-Nickel, our set-up in France includes a comprehensive offer of differentiated solutions adapted to our client needs; alongside Hello bank!, the digital offer of our French Retail and the branch network. In terms of international -- sorry, internal development, we joined forces with Crédit Mutuel to merge our internally developed mobile payment solutions. And in May, we released Lyf pay in France, in partnership with leading retail groups, such as Carrefour, Auchan, Total. And Lyf pay is a new high value-added application, which provides a universal mobile payment solution, combining payment but also loyalty program, coupons and discount offers. Looking at Domestic Markets P&L. Revenues were close to EUR 4 billion in the second quarter, only slightly below last year. As I said, we saw a good business drive in our Domestic Markets, but we continued to be impacted by low interest rates. Commission income marked an increase in all of the networks to complement that. If we then look at the costs, they were moderately higher due to business development investments in our specialized businesses this quarter. Taking just the 3 large networks, as I said earlier, costs were up just 0.5% on average. Given a significant reduction in cost of risk, especially on the back of continued improvements at BNL in Italy, pretax income stood at a high level, topping EUR 1 billion, but just slightly below what we saw last year. Looking at each country and business, I can particularly mention that French Retail show good revenue resilience on the back of strong drive in business activity. BNL bc's revenues were down, while showing good cost control and a continued decrease of its cost of risk. Belgian Retail showed a good business drive, but was impacted by the low interest rate environment. And finally, the specialized businesses continued to deliver good sales and marketing. In conclusion, our Domestic Markets performance showed business drive, but, of course, still reflected the low interest rate environment. So having said that, but still remaining on Retail Banking & Services, if you now advance to Slide 25 on your device, you can see that our International Financial Services division showed good business activity. In particular, Personal Finance continues its good drive. International Retail Banking also showed good business growth, and Insurance and Wealth and Asset Management showed good growth of assets under management. On the P&L, revenues were 3.2% higher and 4.2% even like-on-like. And thanks to this -- the rise in all of the businesses. Thanks to a positive jaws effect and lower cost of risk, pretax income rose significantly to EUR 1.4 billion, up 11.3% on the second quarter a year ago. Going into a bit more detail for each of the businesses of International Financial Services, you can advance to Slide 26, where you see Personal Finance, which continued to show a very good drive in the second quarter, with outstanding loans increasing by 11.9%, thanks to higher demand in the Eurozone and also the positive effect of new partnerships. Consistently, with its 2020 development plan, in Q2, Personal Finance expanded its footprint by buying Swedish consumer finance specialist SevenDay Finans, which had some 70,000 clients and outstanding loans of around EUR 580 million. In term of results, revenues were up 4.4% on the back of volume growth, combined with the shift towards products with a better risk profile. Revenues progressed, particularly if you look at it in Europe, in Italy, Spain and Germany. Costs at the same time progressed on the back of this increased level of activity. And given in particularly a decrease of the cost of risk, which was at the low level, pretax income marked a significant improvement to EUR 445 million, marking a 22% increase on a year ago. So in conclusion, Personal Finance delivered another strong quarter, with a very dynamic business drive and a significant improvement of its income contribution. If we now continue in International Retail Banking, and let's go to Slide 27 where we see Europe-Med. Business activity good growth, with loans increasing in all regions and deposits also marking good progress. Our digital banks confirmed their successful development with Cepteteb in Turkey, reaching 420,000 clients; and BGZ Optima in Poland at 205,000 clients. At constant scope and exchange rate, which is applicable in this kind of areas, revenues progressed by 4%, thanks to the good volume growth that I just mentioned. Costs increased at a somewhat similar pace on the back of this good business development. Overall, given a lower cost of risk due to write-backs this quarter, Europe-Med results increased by 12% in the second quarter of the year. At historical scope and exchange rate, the increase was 1.6%, given the unfavorable exchange evolutions, as you know. Leaping now to the other side of the water, leaping to the U.S. and going to Slide 28. BancWest confirmed its strong business drive. Loans were up 7%, driven by both individuals and corporate lending, while deposits were up 11% compared to a year ago. We continue to grow the assets under management in our Private Banking, which progressed by nearly 16% on last year and clocked in at $12.6 billion. At constant scope and exchange rates, revenues were up 7.9% on the back of the good volume growth and the higher interest rates. Commission marked an increase also versus last year. Costs progressed, but at a lesser pace, leading to a very positive jaws effect. On the whole, BancWest pretax income increased by 11% on last year, confirming a strong operating performance in the second quarter. If you could now kindly flick to Slide 29 on our savings and insurance business, which saw assets under management reach EUR 1,033,000,000,000 at the end of June. Assets under management were positively impacted by a good asset inflows since the beginning of the year in all our businesses as well as a positive performance impact. In fact, over the past 10 quarters, our assets under management have increased by EUR 139 billion, with nearly 2/3 coming from net asset inflows. If we now look at the P&L, starting with the Insurance business first on Slide 30, revenues benefited from a favorable market context as well as from a good performance of protection activity and savings activity in Asia, and were up 1.4% compared to the second quarter last year, where, let's not forget, we had booked a high level of capital gains. Costs were up due to the continued development of the business. And overall, in the second quarter, insurance pretax income was only slightly below last year's at EUR 376 million. If we now move to the last part in that domain, moving to Wealth and Asset Management, revenues were up 2.3%, with the rise in particular in our Asset Management. Costs marked a reduction, leading to positive jaws. As a result, pretax income marked a near 25% increase to stand at EUR 226 million in the second quarter. So globally, revenue growth in our Insurance business despite a high comparison base a year ago and a good performance in all businesses in our Wealth and Asset Management. So this basically completes our Retail Banking & Services business for the second quarter, so let's go to the last part. If you could kindly cast your eyes on Slide 31, on Corporate and Institutional Banking, which posted, again, good results this quarter. Indeed, revenues stood at EUR 3.2 billion, marking a 4.6% increase despite a high comparison base a year ago. Both Corporate Banking and Securities Services marked good revenue growth, while Global Markets showed good resistance. As a reminder, our CIB is well diversified, focusing on institutional and corporate clients, is well capitalized and is fully integrated with other businesses of the bank. And therefore, we have this continuous uptick in the revenue line. Talking about continuous, let's look at cost reduction. So our operating expenses showed a significant reduction of 6% year-on-year on the back of the cost efficiency measures that we have been implementing in the CIB division since 2016. The second quarter marked the fourth consecutive quarter of very positive jaws effect for the CIB activity. As a result, gross operating income led by 28.4%. And given another quarter of net write-backs in already a low cost of risk environment, pretax income rose by 48.7% to stand at EUR 1.35 billion. So if we now turn to the next 2 slides, that is 32 and 33, let's take a closer look at the 3 businesses within CIB. If we start with Global Markets, revenues were 2.3% down due to lower business activity in Fixed Income. That was, however, almost fully offset by the strong performance of our Equity and Prime Services. Fixed Income was actually impacted by the lower level of activity at industry level. As a result, revenue decreased by 15.9% compared to a favorable second quarter last year. In this lackluster context, we confirmed our top ranking on all bonds issues in euros and a benign position for international bond issues. On the other hand, equity revenues showed strong growth on the back of solid performance of equity derivatives and the good development of prime services. So with this, we turn to Securities Services. Revenues progressed by 7.9% on the back of growing outstandings and higher transaction level. The business line also benefited from the positive impact of new mandates. Finally, the third part, Corporate Banking. Revenues were significantly higher, up 13.5% on last year, with growth in the EMEA and Asia-Pacific region, while Americas was essentially stable. Transaction banking evolved well, with sound growth both in cash management and trade finance. The second quarter saw a good level of capital gains which were realized as part of the current business activities, so nothing in particular to mention. So in a nutshell, a very good overall performance of our Corporate and Institutional Banking, with continued improvement of its operating efficiency and strong income growth. So this basically concludes my introductory remarks of our second quarter results. As a takeaway, I would like you to retain that BNP Paribas showed good business drive this quarter. Income of the operating division was sharply higher. Our CET1 ratio increased to 11.7%. And all this testified to a good start of the 2020 plan. So ladies and gentlemen, once again, good morning. And I thank you so much for this attention, and I hand the floor back to you.
Operator: [Operator Instructions] The first question is from Jean-Francois Neuez of Goldman Sachs.
Jean-Francois Neuez: Jean-Francois Neuez from Goldman Sachs. I would like to ask you 2 questions, please. The first one is on the external growth and the bolt-ons that you've done year-to-date. There has been quite a few, you've mentioned a few in your presentation, each of them individually has not necessarily been life-changing, so to speak. But I just wanted to know whether you could give us the total amount of capital spent on the sum of all you've done year-to-date as well as what is your expectation for the contribution in addition to your business plan probably at the end of the year, at the end of the period of the business plan, if you can share that results. The second question I had is on the jaws. At group level, I noticed that, clean for one-offs, they started to be positive again. They've been driven by CIB. You've made the remark that the plan was launched earlier, hence, the results. At which stage can we expect to start to see the resumption of positive jaws in the retail activities overall in your opinion? I know you've been kind enough to give us guidance for French Retail revenues again, so I just wanted whether you could -- wanted to know whether you could expand on that as well.
Lars Machenil: Jean-Francois, thank you for your 2 questions. I'll start with the external growth. So as you mentioned, indeed, what we have been doing is so called bolt-on acquisitions, so not of a material size. And so it basically means in our overall reflection, as you know, when you look at our earnings of a given year, which represent basically 100 basis points of common equity Tier 1. Out of that, we basically said that half would be allocated into dividend. And then there would be some 30, 35 that we would need to cover the growth in our RWAs which correspond to the growth of the business [ as a ] company. So we basically have something like the equivalent of 15 basis points available to do acquisition. And if you look a bit at what we have announced so far and what is to come, what we still have to consolidate, you can see that this is the area of size that you have to look at. So that is what it is. So it's basically, as I said, a bolt-on. It is within the scale of the things that we do, so there's nothing particular to mention. When it comes to your jaws, so the thing is, as you know, the plan that we have launched this year and which has indeed started a year earlier in CIB is a tad different from the previous plan. Our previous plan was a cost-reduction plan. This one is really a plan where we aim to adapt the bank to be in line with the new customer experiences, while we also try to be in line with the businesses that we can do. And of course, as a consequence of that, we will do cost reduction. And as you saw that the activities that we've done, it was basically on CIB. Now if you look at our overall planning, you have seen that when we announced the ROE improvement for each of our businesses, we showed that basically the drive of the plan by 2020 depends on the focus area. And as you remember, the ROE back a year ago was most depressed compared to the average in CIB. So of course, the focus is a tad more in the plan on costs in CIB and is more on developing still, while containing costs on the retail side. So that is a bit the way I would provide color on this evolution.
Operator: The next question is from Lorraine Quoirez of UBS.
Lorraine Quoirez: Just 2 questions from me. The first thing is the write-backs were significant again this quarter. So I was just wondering whether you expect cost of risk to remain that low in the next few quarters. And the second thing is, as you mentioned, there's been a certain amount of capital gain in the Corporate Banking business. And I'd like to know how much higher these capital gains were compared to your normal run rate?
Lars Machenil: All right. Thank you for your questions. So first, when we look at the cost of risk, it is true that there are some elements that we drive to basically have a positive evolution of the cost of risk. In particularly, we think of BNL, where we have repositioning on the debtor counterparties. And as you can see, the cost of risks tapers off at BNL. And then the second thing is, within Personal Finance, we are also focusing on the debtor counterparty products, which also has led to some improvements there. Nevertheless, as you mentioned, we have some write-backs in some areas like Europe-Mediterranean, and like in CIB, which have basically flattered somewhat our cost of risk. I remind you that the guidance that we have given is that, overall, we expect in a normal period to have a cost of risk which is somewhere between 40 and 50 basis points over outstandings. So that is a bit what I would suggest that you keep in mind going forward. Then when it comes to your question on capital gains, so I think you refer to the capital gains that we have in Corporate Banking. Now the thing is, I want to clarify what these things are. This is basically part of run of the mill. So it's not something that boosts overall performance. It's something which is part of the yearly performance that we have in that activity. And what does it stand for? It basically is from the normal run of the mill, at some point in time, they can get into a structure which includes an equity kicker. And then, at some point in time, this equity kicker kicks in and basically gives a gain. Another possibility is that if at some point in time, a loan gets sour and the company gets restructured and that restructuring leads us to have an equity stake in that company, which then, over time, can also be sold and leads to capital gains. So what we're just saying is that, so it's part of the normal run of the business and that's it. There is nothing more to see. It's not really driving particular results. It's part of what the normal business does.
Operator: The next question is from Delphine Lee of JPMorgan.
Delphine Lee: Just 2 also from my side. I just wanted to come back to Corporate Banking. I mean, just wanted to look for a bit more color in terms of maybe the market shares gain that you're having and how much growth are we seeing in Asia. If you can give us a little bit more color, that would be helpful. Secondly, on French Retail. I'm just wondering why -- well, you've revised a little bit your guidance, but you seem still relatively cautious around 2018 and when we can see the top line really peaking up. And if you could also give a little bit of color here, that would be helpful.
Lars Machenil: Sure, Delphine. Thank you. Now when it comes to Corporate Banking, let's not forget what we do in Corporate Banking. We're very focused on helping our clients, for example, in areas where what we bring in cash management, trade finance can make a difference. And so for example, in Europe, we are focusing a big part on the northern parts of Scandinavia, but also Germany. That's what we're doing. And so we're also accompanying European clients into Asia and the U.S. And basically, at the same time, helping local clients coming back with that funding and with that trade into Europe. That's basically what we do in Corporate Banking. When it comes to French guidance, so yes, in France, you've seen we are -- we have seen volume picking up, as you've seen in our numbers. So we are -- this is a bit of a trend, a positive trend that we have now seen for a couple of quarters. And this is something which improves a bit the outlook that we initially gave, because, yes, the interest rates remain very low. But next to the volume growth, we're also working at developing and providing fee-generating products that are finding pickup and, as you can see in the line, fees and commissions. So that is a bit what we see. So this basically makes us a little bit more optimistic. And so when we guided during the announcement of the plan that for this year, the top line in France would be more or less minus 3%, I think we can now say it's more going to be towards minus 1%. So we see a positive impact. And particularly on the pickup in the volumes and the demand for fees, if this continues, this is that. Then -- now when will this really shift, that we'll have to see how things evolve and that would be somewhere in 2018 or 2019. We'll have to see that.
Operator: The next question is from Jacques-Henri Gaulard of Kepler Cheuvreux.
Jacques-Henri Gaulard: A couple of questions on my side. It's the second quarter that you're basically beating your 2020 targets in terms of ROE and ROTE. Isn't it going to need to be -- time to revise them up soon, particularly in the context of Basel IV? You could give us an update where we are here, it's a headache for everybody. Question 1. Question 2, very interested by the acquisition of Compte-Nickel. You were not maybe the natural acquirer of this. I was wondering if you experienced some cannibalization of your existing client base were also clients of Compte-Nickel, if you can give us a percentage, or your find there is no cannibalization at all. And maybe try to elaborate for us how your effective distribution network organized itself now between the network, Compte-Nickel, the regular online banking. And lastly, a third one. I was wondering when you would give us an update on IFRS 9 maybe in detail, if it's next quarter or towards the end of the year.
Lars Machenil: Jacques-Henri, many questions.
Jacques-Henri Gaulard: Sorry [indiscernible].
Lars Machenil: So no, no worries. No worries. So first, If I go to the ROE target, as you know -- so indeed, our underlying result have proven to be very strong in the second quarter, which also reflects in the improvement of the ROE. On the ROE, let's not forget, as we are regulated by the way we can calculate it and the way we can publish it, the ROE is basically annualized. Because if you've just taken our -- the return of one quarter, the ROE doesn't mean anything. So that means it has to be annualized. If you look at the overall results in the first semester, they are typically stronger than in the second semester because there is a typical pickup which is stronger at the beginning of the year. So this means that this annualized ROE is a bit inflated versus where it is. So typically, when you look at the ROE that we published quarter-after-quarter, you basically see it starting and then tapering off towards the more normal level. The second thing is that we are still stepping up our common equity Tier 1, so we are at 11.7%. We're still stepping up to 12%. So that is a bit where we are orienting to. So then you had a question on Basel. Yes, so let's not forget that on Basel IV, Europe has said many times that they wouldn't want it to basically materially impact the capital requirement of banks, which is logical, because if it would, that will basically hamper the banks in supporting the European economy, which would be perpendicular to what the European Central Bank tries to do. Moreover, there have been discussions in the beginning of the year which hasn't led to a conclusion, so this will probably continue in the second half. Let's not forget that in the second half of the year, the U.S. will again be around the table, and so the U.S. is also very dovish about eventual impacts of Basel IV. So we'll have to leave it like this, and we'll have to see how that evolves in this frame. When it comes to Compte-Nickel, let's not forget, so for us Compte-Nickel basically complements the way we interface with clients. So we have the branch network, we have our digitalization, we have Hello bank! and then we have Compte-Nickel. So Compte-Nickel for us is basically a separate stream. So it's a separate stream focusing on different aspects, and that is the way we will keep it. When it comes to your last question on IFRS 9, so there are still some elements in IFRS 9 which hasn't been clarified by the supervisor, by the regulation, so you still have to wait for that in order to come up with further details. Overall, our best calculation is that the impact when it comes to common equity Tier 1 will be relatively limited. It will be 10 basis points, which is, if you look at some of the EBA statistics, is on the low side and that is probably because BNP Paribas already had the use of collective provisioning on what is now being called the Stage 2 provisions. So that is basically where I would have to leave it to.
Operator: The next question is from Jean-Pierre Lambert of KBW.
Jean-Pierre Lambert: I would like to come back to some topics which were discussed earlier. The cost base in Global Markets was down 12.5% year-on-year. How should we look at this EUR 1 billion cost base this quarter? Were there any one-offs, such as less investments or adjustment to the bonus pool following the FX fines? So that's the first question. Secondly, on the reversal of provisions in CIB. Looking at BNP's history, 2005 and 2006, the bank enjoyed 2 years of reversal of provisions. Is it a scenario which is possible? Or you think the reversal we're seeing now are more short-lived? And thirdly, you completed EUR 9 billion of issuance of nonpreferred senior debt out of the EUR 30 billion program. Do you have any fine-tuning on your EUR 400 million negative revenue guidance for 2020 based on what you see?
Lars Machenil: Jean-Pierre, thank you for your questions. When it comes to the cost base of -- that you see in Global Markets, it is really, yes, relatively the driver of the overall savings. So it's not that it is exceptionally loaded, it is what they are doing. For example, in the documents, you can see the contribution of each of our divisions on the overall savings. And you can basically see that Global Markets represent 60% of the savings. So of CIB. So you can clearly see that the efforts that are being done in Global Markets are material. And that's also logical. If you look at our Global Markets, it's where we had FIC on one side and equities on the other side. We brought them together into Global Markets. So you can clearly feel on systems, on back office, on middle office that you can see that we have saving opportunities. And that is basically what you see, and you can see the relative part of that. So that's that. When it comes to your question on cost of risk write-backs. So yes, it is true that the write-backs that we have are based on the provisions that we took a couple of years ago, and that are in areas which were of concern and which are turning out to be better. How much more will that evolve? How much more -- meaning will the companies improve? Will the companies be -- having sales in their activities? That is something, honestly, Jean-Pierre, that I cannot tell you. But it cannot be excluded that there would be some further positive effects coming on to that. And your third question was on the revenue potential impact of all the issuance that we are having. The only thing that what we're saying if we look at our issuance today, we're just -- yes, we're doing it well. So we -- for example, we gave out the numbers that we wanted to do, so we wanted to do EUR 10 billion in TLAC. And yes, that is what we want to do in 1 year, and we are at EUR 9 billion. So yes, I mean, this thing wasn't existing before, it's going now. It's well. But we confirm our overall objective is to have a EUR 10 billion on average per year, which means that the cost we've guided are also the same as what we said. So there is no change on that front.
Operator: The next question is from Jon Peace, Crédit Suisse.
Karl Peace: So 2 questions, please. The first one was just on the revenue trends in the CIB and the market share gains you've been seeing. And I just wondered if you can elaborate a little bit more on what's driving that. How much is it your own initiatives? How much is it weakness among competitors? And how much further might there be to go on some of those trends? And the second question was on your insurance business. You talk about good underlying inflows, especially into unit-linked. And I just wondered how the mix might be changing there, the back book versus the front book as it were in terms of unit-linked versus traditional life, and whether you see any positive or negative catalysts as a result of the recent elections and some of the new policies that might be out there for taxation, et cetera.
Lars Machenil: Jon, when it comes to, indeed, the market share gains, so as a reminder, what we have done, as I said, in CIB, we've adapted ourselves very quickly when the new regulation came. And we basically have a diversified approach to what we do, but also integrated with all the aspects of BNP Paribas. And so if you look at it, I mean -- and that's numbers we have basically shared in our Investor Day, but you clearly see that, that market share, we grab it in Securities Services, we grab it in Global Markets and we grab it in Corporate Banking. And it's because, to simply say, we're not only just grabbing new clients, the idea is also if we serve a client, we basically aim to serve him with many other products. So it's -- those are the 2 things that we aim for. And being a diversified approach, well-capitalized bank, this is the things that we can offer and as we basically growth that front. So that is on the market share gain. When it comes to insurance, yes, as we said, we, of course, are focusing going forward on things like unit-linked and on property and casualty kind of business. This is what we're doing. And we're basically orienting this in many different areas. We're doing this in France. We're doing this also in Italy, for example, and the other things, and that is what we will continue to do.
Karl Peace: And did you anticipate potentially any changes as a result of the elections? Or do you still anticipate strong inflows?
Lars Machenil: Jon, I think it's a little bit too early to have any views on this. I mean, as I said, we're very supportive of a continuation of the positive momentum that we have seen, for example, in France. That has been going on for a couple of quarters, and that's it. And so we basically also see this in the good confidence index that we see. So we will observe that going forward.
Operator: The next question is from Pierre Chedeville of CM-CIC.
Pierre Chedeville: Just 2 quick questions. The first question is relative to a comment on your Corporate Banking activity. When you mentioned capital gains, I must admit that I'm probably ignorant, but I don't see what you mean by capital gains in this kind of activity. If you can enlighten me, it would be nice. And also regarding Equity and Prime Services, we all have noticed your very exceptional performance this quarter. But when we compare with your peers, we know that all your peers mentioned very low volatility that led to very low volumes. So I guess, when you talk about performance, do you talk about volumes? Or do you talk about your trading performance?
Lars Machenil: Pierre, thank you. When it comes to, as I said, the Corporate Banking, the elements on -- of capital gain that we mentioned, as I said, are part of the run of the mill. And maybe to give further color to it is if we talk about, for example, capital gains, it can come from an equity kicker, which is typical structure when we do acquisition finance where in order -- of the overall structure with what you pay in interest rates. There is also have the option to basically get an equity kickback in the company at some point in time. And so that is then, at some point in time, that can be realized and that generates a capital gain. And the other example that I said, if a company goes a bit into dire straits, it can get restructured. Out of that restructuring, we can replace part of the loan by an equity stake, which then, if it turns out to be well, leads to a capital gain. So this is something that, as I said, it's part of the mill of what we do. It's not that we take investments and then we basically see how that goes. It's part of what we do, yes? So that's on that part. When it comes to your question on Equity and Prime Services, yes, when we talk about having those elements, we talk about the volumes. So the volumes are good. And yes, I mean, it is as always. I mean, some banks have less in volumes and then some other banks have more in volumes. So we know there's many banks that don't have, but there are other banks like us that have a positive impact on the volumes in equity. Pierre, that would be my answer, yes.
Operator: The next question is from Tarik El Mejjad of Bank of America Merrill Lynch.
Tarik El Mejjad: Just a couple of questions, please. First, on costs. If I understand well, the answer you gave to an earlier question on that, so I understand well, is setting that the retail costs would take longer to materialize than what we've seen for CIB. Is that right to understand this way? And on costs like on Corporate Centre, so second half of this year, we should expect, normally if you follow the guidance, around 700 -- sorry, EUR 500 million [ restructure ] transformation costs, is that correct? And then my last question on French Retail revenues. I mean, you've just managed to keep NII flattish -- [indiscernible] flattish, with volumes at 80%. So what would have been your unit NII if you had more normalized volumes that we should expect that in the next quarters, I guess?
Lars Machenil: Maybe your first one on the Retail, and let's clarify. So what we've guided is that in the Retail, of course with the efforts that we do, we also will have reduction of costs, which we've guided to be minus 2% for Domestic Markets by 2020, or, put in other way, which will improve our cost/income by 3 points. That's it. So that's basically what I said. As you remember, the cost efforts and the growth effort are bit diversified between our 3 businesses, and that's it. So these are the numbers that we have. And on the -- you had a question, I'm not sure I fully understood, on the Corporate Centre, could you repeat your question?
Tarik El Mejjad: Yes. The transformation costs that you booked, only EUR 330 million as of first half and you were guiding for EUR 250 million per quarter. Should we expect EUR 500 million in second half or less?
Lars Machenil: Listen, this is where I let you decide. So as you know, we're ramping up these costs. So we're seeing -- we're making sure that people are identifying the right products that can support them. And so you've seen that we've already stepped up from the first quarter into the second quarter. And as I said, we've guided towards an overall rhythm at EUR 250 million. Exactly when we will be there, I'll let you -- I'll report that when we're there.
Tarik El Mejjad: Okay. And on the French revenues?
Lars Machenil: Now on French revenues, I'll let you do the math. I mean, if we look at the volumes, how they go, you've seen that, you'll see that there is pressure on the interest income. There is, however, a combination of what we do in fees and commissions, and all that is a whole. So I mean, just separating out one or the other doesn't really make a lot of sense.
Tarik El Mejjad: Yes. But my question was just trying to have your thinking here, because you agree that 8% volume growth is something that's difficult to maintain in a very prolonged period of time. So I was just trying to have your thinking there, but it's fine.
Lars Machenil: Yes. No, I mean, sorry. Maybe to clarify further, the thing is when -- and that's what I said earlier. I mean, the 7% and 8% that you've seen in the first quarter and the second quarter are somewhat flattered by the low base that we had a year ago. As I said, the pickup in France and the optimism that we see is now going on since a couple of quarters. So a more natural kind of rhythm would be 5% or so, which is also, for example, what you see in Belgium. So that is the kind of guidance I would give.
Operator: The next question is from Maxence Le Gouvello of Jefferies.
Maxence Le Gouvello du Timat: I have a few question. The first one is a request. Can we have in the future the disclosure of the asset under management for the Private Banking activities in Italy and Belgium Retail, would be quite useful. First question is regarding the saving into the CIB. You made EUR 170 million on this quarter. Can you give us more color of what do we include in those? Is it IT, headcount, outsourcing? That would be quite useful. Second question is regarding the cost in Insurance, they're up by 7%. More explanation. Is it life, nonlife? And where do you want to invest? And the third one is regarding your operational risk. You have been fined by the Banque de France on June 2 regarding some lack of reporting in 2015. What was interesting in the press release of the Banque de France, you said that you made some significant improvement and investment over that time. I would be interested of how much you have invest in French Retail over that period of time to bring back to the level that was requested by Banque de France.
Lars Machenil: Maxence, thank you for your questions. And your first remark is noted. And when it comes to the CIB one, the CIB is basically -- it's a diversified impact. So as I said, we've been moving Global Markets, so the activities of FIC and equities together, so we have some savings on the IT front. We've also been staffing up our local centralizations. For example, as I said, in [ Montreal ], in Lisbon and the likes. So there is some of the staffing cost that is basically also kicking in. So that is a combination. It's relatively balanced between those 2. And when it comes to insurance, as I said, what we do is we aim to focus growth and to have complementary growth. So there is, of course, a lot of focus that is going on in unit-linked, but there's also growth going on in the nonlife area. And for example -- and this is also what we do in many of the areas where we are. So for example, in Italy, we stepped up recently our activity in nonlife that we are doing, and we're doing that in several different areas. And so that's that. And with respect to the Banque de France, yes, we have efforts done, but we don't specify exactly the amounts of costs that we've invested. It's part of -- in 2014, we have been stepping up a lot of efforts in compliance, in control and into guarantees as we've done with respect to all. And that's basically it. So if you want to look at it in total, it's, of course, a stepping up of, for example, the inspection. We now have more than 3,600 people, so it's up 126% versus like, say, 4 years ago. So that is the kind of thing that we've done. So it's not that for this one particular situation, we've been adding things. It's really since 2014, we have been stepping up tremendously in staffing, what I just said, but also in training and in the likes in what we're doing.
Maxence Le Gouvello du Timat: What I'm -- Lars, when I'm looking to Slide 16 of the presentation every quarter, those figures are permanently going up. So when can we expect it to stabilize in term of number of staff?
Lars Machenil: Yes. No, I think we're now in a phase where we are basically reaching where it is. Because once you are there, afterwards, you can also start industrializing. I think the example of the CCAR of what we've done in the U.S. So in the beginning, when you do things, you often do it also in a manual way and then you can industrialize over time. So it is true that since 2014, we have been stepping up the activities, doing the activity. It also takes some time to get it fully crystallized, so that is why you indeed still see a kind of a pickup. But we should be, normally by year-end, something like that, we should be where we want to be.
Operator: The next question is from Bruce Hamilton of Morgan Stanley.
Bruce Hamilton: Just a couple of questions from me. Just returning to the strong performance in equities. I guess the answer in terms of strength might be that structured products have been good even though flows been a bit weaker. So I wanted to check whether that made sense, and just if you can give a sense of how much of you Equity derivatives is coming from flow versus structured will be helpful. And then, secondly, on the Prime Services, what -- how are you differentiating your offering? Do you -- I mean, what do you think is driving the market share improvement there versus peers? And then the second area, just on PSD2, in terms of where you are in terms of planning, developing APIs. And more broadly, as you look at PSD2, do you see it more as an opportunity or a threat to your business? And if so, why?
Lars Machenil: Listen, yes, on equities, so it is true that structured has been performing well. But as I said, so has flows. So yes, we are active in both areas, and so both areas basically had a pickup. When it comes to your question on Prime Services, I suppose you remember that already some years ago, we basically did some acquisitions in that area, which is what we are continuing to build on. And with respect to the PSD2, as you know, there will be, of course, some adaptations coming next year. But I think with the diversified approach that we have, we are well positioned to basically adapt to the customer the kind of products that is needed and that are compliant.
Operator: The next question is from Omar Fall of Mediobanca.
Omar Fall: Sorry to come back to asset quality. But even if we adjust for the write-backs, you're still miles from the 40 to 50 basis point cost of risk. On top of that, NPLs were down, I think, close to EUR 2 billion in the quarter. And as Jean-Pierre mentioned, in the past, you had multi-year periods of extremely low loan losses. So why shouldn't that be the case going forward? Second question would just be on Asset Management. The flows, quite weak, EUR 1 billion. I think they were EUR 15 billion the quarter before. Is that just money market treasury outflows, disruption related to the reorganization? What's going on there? And then just lastly, what was the underlying growth in risk-weighted assets in the quarter, please, excluding FX? Sorry if I missed that somewhat.
Lars Machenil: Okay. Omar, thank you. When you say -- when you correct on cost of risk, you mean miles away. You mean miles below, I guess, that's what you mean, which is true. So the cost of risk for the moment is indeed -- our intrinsic guidance is like 50 basis points, I say 40 to 50 as a guidance. But they are, for the moment, very low. If you look at, indeed, areas like, for example, Belgium and other areas, they are indeed low. However, I mean, if you look at for our planning on the medium and long term, I still provided the overall guidance of 40 to 50 basis points because as we will keep on picking up growth, we will have to provision for that growth as well. So I understand that, for the moment, it is particularly low, that's what we said. And therefore, our overall guidance, however, remains 40 to 50 as I said. When it comes to Asset Management flows, yes. And so basically, the difference this quarter is indeed related to the money market outflows. When it comes to the RWA evolution, so the way what we said is that, if you look at our RWA, they are basically flat. And they are flat because, indeed, the ForEx evolutions have brought down the intrinsic growth. So the equivalent, if you want, on a capital basis is basically 10 basis points. So that is, let's say, EUR 5 billion to EUR 6 billion in RWA growth intrinsically that you see, which is the normal rate that you would expect given the volume growth nonrisk weighted.
Operator: The next question is from Stefan Stalmann of Autonomous Research.
Stefan-Michael Stalmann: Two questions, please. The first on Belgium. It seems that the corporate tax rates are coming down, and that could mean that you will have a DTA impairment. I reckon maybe EUR 400 million or so if it comes. Could you give any guidance on that? And could you also maybe mention whether that would have any impact on how you think about dividends? Second question, regarding the FX settlement that you had lately with the Fed and a bit earlier also with the New York Department of Financial Services. Part of the settlement with the Fed is actually that the Fed imposes quite a lot of requirements on your controlling and compliance and risk management systems. And if I read it correctly, it imposes it on your global FIC business. Do I understand this correctly? And if so, does it constitute a driver of costs going forward? Or have you actually done a lot of these things anyhow already?
Lars Machenil: Stefan, thank you for your questions. So yes, when it comes to Belgium and reduction of the corporate tax rate, now first of all, this is a good thing, right? So this basically means that for our bottom line, that's it. Then secondly, we will indeed have to look closer at the stock of provisions, but also the stock of provisions not activated. So I think, overall, there is more a positive thing than a negative thing. So overall, I think the impact on the past should be relatively manageable. And going forward, it will basically be beneficial. So that would be Belgium. And when it comes to the FX settlement, yes. So the FX settlement will basically cover the period up to 2013. As you know, as of 2014, we have stepped up, as we said earlier, our activities both in compliance and inspection, but also in the systems. So normally, we assume that within those activities, we should be able to ensure that we are aligned on all those reportings that are required.
Operator: The last question this morning is from Matthew Clark of MainFirst.
Matthew Clark: Three questions from me, please. Firstly, on the restructuring charges. It sounds as if you're going to undershoot the EUR 1 billion full year 2017 guidance. Should we expect a catch-up there next year, so that you get back on track to the EUR 3 billion overall transformation cost? I'm just checking, you're not suggesting you're going to undershoot overall on that EUR 3 billion. And then second question is on the Personal Finance division. Could you quantify the change in the percentage of auto loans there? I mean, it looks like you're still seeing a mix shift because the margin is coming down. So could you say what the proportion of auto loans are now versus where they were a year ago? And then maybe where you think that will end up?
Lars Machenil: On the restructuring, so yes -- no, we still confirm that the overall restructuring cost, we aim for EUR 3 billion. Now the thing is, what I said, we are looking at exactly how the customer experiences are changing, how we can digitalize. So we take the time to ramp those up to make sure we do the right thing. So that is what it is. So that means that, yes, if we have -- we are a bit, for the moment in the first 2 quarters, below my run rate that I've guided to 250. So yes, we might be a bit below the overall guidance for this year. Will we basically step up or catch up already in 2018? I'm not that sure. It's probably in 2019 where the tapering off would be faster, maybe the tapering off will be a bit slow. So we confirm basically the EUR 3 billion, that is the effort that we want to do and the savings that we want to get out of it. And maybe on the savings, which I'll remind you because we've been discussing it. So out of this EUR 3 billion, we expect EUR 2.7 billion. And I'll remind you that 36% of that is CIB, 40% of that is Domestic Markets, 24% is IFS. I don't -- so that is basically this on the restructuring. When it comes to Personal Finance, when you look at the auto loan -- and I'm trying to understand what your concern is. Because for us, this is exactly the element that we try to aim on because we limit the risk. I know that some of you have some concerns of what is happening in the U.S., but the U.S. is a totally different business than what we are having. So what we are doing in auto lending is much more towards corporations instead of directly to individuals. We also provide a lot of services around it. And so we basically don't -- and what we do is not the subprime kind of cars, so we do not consider this as being a particular risk.
Matthew Clark: To follow-up, I wasn't thinking of it as a risk, it's more that, that looks like a material driver of the margin. That if you look at revenues in the Personal Finance division to loans outstanding, that's been steadily declining. And it's just trying to understand the dynamics there because I just want to understand you.
Lars Machenil: The dynamic is -- so I just I thought your question was from a risk concern, which is what I clarified. For the rest, it remains something which is important. It's around 20% of the activity, and it is leading to the growth drivers as you've seen.
Operator: Thank you. There are no further questions this morning.
Lars Machenil: So thank you all very much for the attention. I'm wishing you a very good holiday. And let me remind you once more that we had a very good business drive this quarter. Income of the operating divisions was slightly higher. Common equity Tier 1 at 11.7%. And it all testifies to a good start of the plan. Thank you very much. See you again soon. Bye-bye.
Operator: Ladies and gentlemen, this concludes the call of BNP Paribas Second Quarter 2017 Results. Thank you for participating. You may now disconnect.